Operator: Good day ladies and gentlemen. And welcome to the Q2 2016 IRIDEX Earnings Conference Call. At this time, all participants are in a listen-only mode. Later we will conduct a question-and-answer session and instructions will follow at that time. [Operator Instructions] As a reminder this conference is being recorded. I would now like to turn the conference over to your host, Susan Bruce. You may begin.
Susan Bruce: Thank you. And thank you all for participating in today’s call. Joining me are Will Moore, Chief Executive Officer; and Atabak Mokari, Chief Financial Officer. Earlier today we released financial results from quarter ended December 31, 2016. A copy of the press release is available on the Company’s website. Before we begin I’d like to remind you that management will make statements during this call that include forward-looking statements within the meaning of Federal Securities Laws which are made pursuant to the safe harbor provisions of the Private Securities Litigation Reform Act of 1995. Any statements contained in this call that are not statements of historical fact including statements concerning future demand and order levels for the Company’s products, future operating expenses, changes in personnel, product development and intellectual property related matters, the adoption and effect of Company products on its results, the markets in which the Company operates, usage and efficacy of the Company’s products, the Company’s future financial results, and the Company’s strategic plans and objectives should be deemed to be forward-looking statements. All forward-looking statements are based upon our current estimates various assumptions. The statements involve material risks and uncertainties that could cause actual results or events to materially differ from those anticipated or implied by these forward-looking statements. Accordingly, you should not place undue reliance on these statements. For a list and description of risk and uncertainties so associated with our business please see our filing with the Securities and Exchange Commission. IRIDEX disclaims any intention or obligation, except as required by law, to update or revise any financial projections or forward-looking statements whether because of new information, future events or otherwise. This conference call contains time sensitive information and it’s accurate only as of the live broadcast today, March 8, 2017. And with that I’ll turn the call over to Will.
Will Moore: Thank you, Susan. Good afternoon everyone and thank you for joining us. 2016 was a strong year for IRIDEX, marked by continued growth of our G6 platform for the treatment of glaucoma. During the year, we grew both system placements and disposal probes utilization, broadened our platform offering, saw compelling clinical outcomes and continue to increase our global presence. In short, our success in 2016 with the G6 has given us the confidence that the G6 platform represents a significant opportunity to transform our business for many years to come. As we enter 2017 our focus is on executing on a plan to expand our commercial infrastructures so we have adequate resources to pursue this opportunity and to develop new products and enhance means to existing products so we can continue to stay ahead of any potential competition from a product feature and cost perspective. These are crucial investments that are key to our long-term success. In the fourth quarter we did an equity offering and put in place a credit facility putting us in a much stronger position to fully pursue these initiatives. Turning to the fourth quarter financial results, total revenue was a record $12.5 million, up from $12.1 in the comparable quarter last year. Our G6 platform continues to exceed our expectations with revenue growth of 67% in the fourth quarter. As a quick reminder, we have three primary business segments. First, our Cyclo G6 system targets the global glaucoma market with more than $5 billion spent annually on pharmaceutical and device treatments. This is our fastest growing segment and accounts for roughly 25% of our revenues. Second, is our medical retina product line for the treatment of diabetic macular edema or DME and other retinal diseases. This market for treating diseases of the retina is estimated to be $9 billion due in large part to an aging population and the increase in diabetes. Our medical retina business is also approximately 25% of our total revenue today. Third, our surgical retina line of products used in vitrectomy procedures, such as the treatment of retinal tears and detachments makes up the balance of our revenues. I like to take the next few minutes to highlight our recent progress in each of these segments. Starting with the G6. Two years ago we introduced the G6 platform. The system is powered by a proprietary MicroPulse laser technology, which is a method of delivering laser energy using a mode which chops the continuous wave laser beam and do short microsecond-long laser pulses. We are very excited about the prospects for this segment of our business and truly believe the opportunity has the potential to be transformational for us. Saleable laser systems along with the range of single use probes have continued to gain momentum with growing utilization driving the strong recurring revenue stream. In the fourth quarter we sold 96 G6 systems which brings the total systems sold to 497 since our launch in March 2015. In addition, we shipped approximately 8,000 G-Probes in the fourth quarter which brings the total probes shipped since launch to 35,000. Note that in 2016, which is their first full-year of launch, we sold 386 G6 systems and shipped 27,000 G6 probes, which compares favorably with other recent successful launches in the glaucoma device market. We believe that continued adoption of the G6 is based on several attributes of the system, including a strong safety profile. We also maintain a proven and durable efficacy profile. Data from numerous sources across the globe illustrate consistent clinical efficacy results. Our procedure is also repeatable and address the full continuum of care for the treatment of glaucoma, from early to late stage disease. And in line with current healthcare objectives today our G6 platform provides outstanding clinical outcomes at a lower cost to both the patient and the health care system, compared to pharmaceutical and other alternative treatments. Importantly, we have a permanently established reimbursement code that provides sufficient economics to the physicians and medical facilities to support adoption of our technology. Reimbursement trends for our procedure have remained stable and we expect them to continue. The G6 is a scalable platform that we have designed to offer a low cost laser system and a portfolio of probes for the treatment of early to late-stage glaucoma, as well as refractory glaucoma. Because of the intelligence was designed into probe and not in the system we’re able to provide physicians with a range of treatment options without substantial upfront capital equipment expense. Consequently the payback is rapid with the potential for investment in the equipment to be repaid in as little as two months of procedures. This is a win-win, as it significantly lowers the investment risk for our physician customers, while providing us with long-term upside recurring revenue product sales. Initially, the MP3 Probe was primarily used by physician customers to treat mid-to-late stage glaucoma. As physicians have become more comfortable with our technology, and particularly with our safety and efficacy profile relative to other treatment alternatives many are migrating to treating patients earlier in the treatment continuum with success. Our goal is to make the G6 platform the standard of care used to treat patients across the full continuum of care as the first line therapy through refactory glaucoma patients. A big driver towards reaching this goal is the volume of data that we have amassed to date and continues to be generated. Over the next – excuse me – over the past few months there has been to peer-reviewed MP3 clinical studies and numerous podium presentations and abstracts by leading physicians at the Hawaiian Eye, Glaucoma 360 and American Glaucoma Society Meeting. We also recently hosted our first live surgery event via webcast at the Asia-Pacific Academy of Ophthalmology or APAO, meeting in Singapore. With participation by leading positions in the region, at the live surgery event we had approximately 200 doctors attending in person and perform three surgeries with our MP3 probe in about 30 minutes. Lastly, we expect to continue a cadence of activity, including the podium presentation at the upcoming ASCRS Meeting. Our medical retina product line, which also powered by a our proprietary MicroPulse laser technology, has historically been a good driver of growth for us. The supply chain and salesforce trending issues that arose in the third quarter of 2016 were quickly resolved and work through our backlog in the fourth quarter. We remain bullish on the value-based medicine physician that our technology represents which continues to be supported by several publications and presentations over the last few months. The discovery of MicroPulse effects on heat shock proteins was presented at the Japanese Society Meeting in December, which we expect we’ll have a positive impact on our business. On the third quarter of 2016 earnings conference call, we discussed our National Health Service or NHS funded study in the UK. Patient recruitment has started at several of the ten centers with the other centers to be opened in the near-term. Demand for medical retina products continues to be strong and I’m confident that we have the opportunity to achieve standard – or excuse me sustained long-term growth with this product line. However, we expect our current emphasis on driving sales of the G6 to continue to take precedent and as a result in the near-term we expect medical retina revenues to be relatively flat throughout the year with some quarter-to-quarter lumpiness given the capital equipment nature of these sales. Finally, our surgical retina business, for the treatment of retinal tears and detachment is a mature segment with flat to declining revenues. In the fourth quarter, this business performed as planned as the market dynamics were consistent with the prior several quarters with ongoing competitive pricing pressure in a mature segment. While sales of our surgical retina products generate higher margin – gross margins contribution, we continue to expect flat to declining revenues for the segment. Before I turn the call over to Atabak for review our recent financial results, I want to highlight two key execution goals for 2017 that I mentioned in the beginning of the call. First, regarding the expansion of our commercial infrastructure. In the U.S., we are sharply focused on hiring new qualified sales representatives to meet growing demand for our G6 platform, while maintaining the sales and support capacity of our other product areas to address the broader geographic, that they each of our reps cover. The growing demand for our G6 platform has enabled us to confidently make investments in the expansion of our sales infrastructure. We are taking a highly disciplined and measured approach to hiring, which is paying off as of today we have hired 17 direct reps in the U.S. that is a net addition of four reps, while new hire sales trainees to be conducted next week and expect to reach our stated goal of 24 in the next several quarters. We also recently added one area sales manager to help oversee our larger sales force.
– : Internationally, we are expanding our team to improve our ability to actively manage a growing book of business by our international distributors and providing direct sales capabilities in selected countries. We established IRIDEX GmbH to facilitate our direct sales initiative in Germany and have started to make progress and building out our commercial infrastructure there. Second, regarding product enhancements, for competitive reasons I can’t go into a lot of detail regarding our plans, but I want to be clear that we are not talking about high science product development, but rather a repurposing of existing technologies that will improve the features and benefits of our products and improve our product quality and reliability while reducing our cost. And example of this is the launch of the G6 – G-Probe Illuminate at the recent AGS Meeting. We believe that the G6 Illuminate is a differentiated product that will enable and improve glaucoma treatment alternatives. We plan to continue to advance and defend our MicroPulse patent portfolio around the world, as well as remaining vigilant to the unauthorized use of the MicroPulse trademark. With that, I’d like to turn the call over to Atabak for financial details. Atabak?
Atabak Mokari: Thank you, Will. Revenues for the fourth quarter of 2016 were $12.5 million compared to $12.1 million in the prior year period. Revenue growth in our G6 platform for glaucoma, which increased 67% compared to the fourth quarter of 2015 was partially offset by lower revenues and our surgical retina product revenues. Our medical retina product revenues were flat year-over-year. In the fourth quarter of 2016, domestic system sales decreased 19% to $2.9 million from $3.6 million in the fourth quarter of 2015, while our international system sales increased 17% to $4.1 million from $3.5 million in the comparable quarters. On a global basis increased revenues from our Cyclo G6 laser system were offset by lower revenues from our retina laser systems. Our business generates recurring revenues through sales of consumable products, predominantly single use laser probe devices and other instrumentation, as well as repair, servicing, and extended service contracts for our laser systems. Recurring revenues in the fourth quarter of 2016 increased 12% to $5.6 million from $5.0 million in the prior year period. The increase is mainly attributable to an increase in the sales of our proprietary G6 and P3 probes that are offset to decline in the sales of our legacy EndoProbe in our surgical retina business. Gross margin in the fourth quarter of 2016 was 44.4% compared to 45.3% in the fourth quarter of 2015. Gross margin was impacted by geographic and product mix, as well as continuing pricing pressure of our retina products in international markets, due to the strength of the U.S. dollar and increased competition. Operating expenses for Q4 2016 were $6.6 million up from $5.0 million in Q4 2015. The level of our operating expenses met our expectations as we have made investments to support our commercial infrastructure including increased sales and marketing, and quality and regulatory expenses. Consequently, our operating loss in the fourth quarter of 2016 was $1.1 million compared to operating income of $0.5 million in the prior year’s fourth quarter. In the fourth quarter of 2016, we recorded a full valuation allowance against all our deferred tax assets and recorded a non-cash provision for income taxes of $9.7 million. This valuation allowance contributed to a net loss for the fourth quarter 2016 of $10.8 million, or $1.04 loss per share, compared to net income of $0.4 million or $0.04 income per share for the prior year period. Given the growth initiative that Will mentioned, we expect to incur an operating loss in 2017. In December 2016 and stretching into early January of this year with exercise of the over allotment option, we completed a public offering to raise net proceeds of $15.1 million that strengthen our balance sheet and provides the financial base to support these growth initiatives. In terms of financial guidance, we expect 2017 revenues to be $48 million to $52 million, driven by growth in our Cyclo G6 platform. Growing our G6 business is our primary objective and we anticipate that we will sell 400 to 450 G6 systems and will ship 45,000 to 50,000 G6 probes. Regarding our retina businesses, we anticipate that our medical retina business will continue on its relatively flat trajectory with some lumpiness given the capital equipment nature of the business, and that our surgical retina business will continue to decline modestly. Lastly, as Will mentioned, our focus for 2017 is to make the right investments to position us for a sustained long-term growth. In 2017, we anticipate revenue growth to be more heavily weighted towards the second half of the year, as we start to see the full benefits of our growth initiatives. With that, I’ll turn the call back over to Will.
Will Moore: Thank you, Atabak. I believe that we are only just starting to scratch the surface of the potential of our MicroPulse base products to change the landscape of treatment for sight-threatening eye conditions, such as glaucoma and retinal diseases. Our breakthrough products and procedures particularly on the G6 system are transforming our business. We are fortunate to pursue this opportunity with an established base of revenues in our medical and surgical retina businesses. While we expect some lumpiness from the next couple of quarters as we transform our business I’m confident that we have the right products, the right people to execute on our strategy that will deliver long-term sustainable and profitable revenue growth. I want to personally say thank you to all of our employees for good job, well done. With that, I’d like to turn the call over to the operator for questions. Operator?
Operator: Thank you. [Operator Instructions] And our first question comes from the line of Chris Lewis from ROTH Capital Partners. Your line is now open.
Chris Lewis: Hey guys good afternoon. And thanks for taking the question today.
Will Moore: Hi Chris.
Atabak Mokari: Hi Chris.
Chris Lewis: Just wanted to start on the revenue guidance outlook for the year, just initially it seems like a pretty wide range with implied growth of about 4% to 13% if our math is correct. So can you help us just understand maybe the key levers that are embedded within that outlook this year that kind of bridges the gap from that the low-end and the high-end of the revenue range for the year?
Will Moore: Sure. So as we mentioned on the call, the G6 continues to be our focus. And as we detailed some of the key metrics on the G6 side where we see most of the growth coming from. So that’s the primary driver. And then you’ve got the other the surgical and medical retina businesses that are more flat to slightly declining businesses in aggregate. And I think that as we look at the range that we provided it varies based on how we expect those we’re within the sort of flat to declining. The retina business has come in, as well as where we think how well the G6 products end up growing.
Chris Lewis: Okay, great. And then on the G6 business, can you talk about just what you’re seeing in terms of kind of the reorder trends for those customers that maybe have had the G6 system for some time now. I believe you batch an initial set of pros with that. So maybe for those customers that have kind of kind of work through the initial batch of probes talk about what you’re seeing in terms of reorder trends and rates?
Atabak Mokari: Sure. So we’re getting more and more data as each month goes by just because as you know the bulk of our systems have been placed over the last six months or so, of the 500 systems that we have had out there the couple of 100 of them were in the second half of last year. So I think we – and there’s a bit of a lag by the time that that the doctors get a system and then start to have a install them and by the time they reorder. So there’s still a fair amount of noise in the data that we have. But the early indications are that we have a couple of buckets of users what I call the high volume users are those that are performing well above our ten probes per system per month target. And here we’re seeing that there’s several of the customers that are well north of that ten. I mean they’re – and these customers tend to be at higher volume places, as well as those that are using the MP3 probe earlier in the continuum of care. So how that’s trending is we’re seeing more of – or I guess more come into that pool the higher volume folks and then we’re seeing that overall utilization within that group be somewhat stable. And part of that is that as you grow your volume with that particular system, you end up ordering another system because you end up maxing out capacity within that system. So in terms of utilization for that system could looks like it’s going down but that’s because that same practice decided to add another system, so they wouldn’t let the system be a constraint in their utilization. So that’s the high volume user group. And then we have the folks that are using it as much as we’d like, that are shy of that that ten. And I think here they fall into a couple categories. One, they’re either with a low volume practice that we sold into where either because they were a KOL and it’s a key account for us to sell into. Or that just in terms of a customer selection we probably could have done a better job of selling into that customer. The other as I said some of our doctors are still viewing this as a procedure for later stage patients. So it’s getting them comfortable with using it earlier in the continuum. And other it’s just it’s getting them more comfortable with the procedure and introducing it as part of the standard-of-care – in their toolkit to treat patients. So we’re spending a lot of our time trying to sort of obviously keep the higher volume users going and learning what made that right and make sure that we’re targeting future customers to be fall more into that high volume, but then also looking at the low volume customers and figuring out which one of those we can move up into the higher volume camp.
Chris Lewis: Okay that’s helpful. Thanks for the color. And just one question we get off from investors is kind of how G6 compares to MIGS and Glaukos’ iStent product I guess that product is still kind of restricted in terms of its label. But over time how do think G6 kind of fits with or without kind of eye stand? And do you think it’s more complimentary or more competitive to MIGS overtime?
Atabak Mokari: Yes we think that we are very complimentary to all the MIGS players iStent included. In that we view the treatment of glaucoma as a complex fight for the physician and that there’s not really one tool that ultimately will win. And we think given our value proposition that we can be used across the full continuum of care and that we don’t limit any other future procedures that can be done before any kind of procedure, after any kind of procedure, or in conjunction with other procedures. So that as the doctor manages the patient there’s the MIGS opportunities don’t really present any kind of hindrance. If anything we think the MIGS players are a good thing for us overall, because they are raising awareness to the doctors that there is a solution to treating glaucoma patients other than pharma, which is exactly where we want to try to position ourselves as a true alternative to pharma, to eyedrops to be specific. And so that physician education is something that we think is a good thing and as an industry as a whole benefits from the work that each of the several players are undertaking. Go ahead Will.
Will Moore: So Chris, to add to that what out of boxing we both of us, as well as a company believe there are complementaries. So where there’s really not a competition here. I think the one thing people miss on this is that the cost of our system we get to approximately $200 for a pro versus the $1,000 that they get for an iStent. The difference is they are one time and done. We may treat the patient anywhere from four times to six times over their glaucoma life if you will. So we’re just getting started and as the number of people that use it, expanding substantially and as Atabak was talking about the earlier call that bi-model distribution he was mentioning, we’re not only looking at expanding the number of usages per doctor, as well as we expand the number of doctors that use the system, which I think if you look at it on a per patient basis, Chris ideally we’d like to see ourselves up into that $1,000 plus per patient over a period time they have glaucoma. So we’ll compare fine with them over time. We just believe that we have a very compelling story at a lower cost and providing better value based medicine today than other modalities.
Chris Lewis: Okay. And then Will you mentioned in your prepared remarks the expectation for some additional clinical data for G6 is year any additional color you can provide on what our expectation should be I know the ASCRS in early May kind of any early kind of previews of what to expect that week and over the course of the rest of the year in terms of clinical data for G6?
Will Moore: Sure. We’re expecting to see a podium presentation from a well-known physician at ASCRS. On the other side we just finished up the meeting in Singapore with the live surgeon we talked about that was chaired by the Head of the Department of Tokyo University, UCSF and National Eye Institute of Singapore. And all of those have put out well excuse me [indiscernible] and used this app to put out publications. The Tokyo one we’re looking at working trying to work with them on a on a collaborative study with couple of other universities. And on top of that at the meeting in Singapore papers show up our posters or presentations from physicians that have purchased the device that we really don’t know they’re going to make a presentation. For example, recently in German language we had a physician by the name of Totenberg publish a paper on the G6 out of the German side of Switzerland, and those types of things will continue. So we do have concentrated effort at looking at having a collaborative study that looks at the G6. And we’ve been looking at it in a couple of things, one of which is there are needs for publications in specific languages such as U.S. English, German, Chinese and Japanese. And there’s need for collaborative effort that show a broadband use meaning. It works for us in refractive open, in highly reimbursed societies and ones that are not. So that will be continue to working on. Now whether they show up this year or not Chris I’m not I’m not certain, but I can assure you that we are working diligently to make those studies begin.
Chris Lewis: Okay great. And just one more for me in terms of the salesforce expansion plans this year. I think it sounds like you got it four net since the end of 2016. I guess one is 24 still the goal? And I guess two kind of what’s the timing expectation to get there for this year? Thanks.
Will Moore: Yes so the number 24 as we’ll look at is the next stop you’ll say. I don’t know what the final number is at this point time. And it’s been you’re talking about U.S. side we could have substantially more than that as we add to the direct side in Germany as well. But think what we have to do and as Atabak said, we’re looking at this in a controlled manner and we will get these people on, we’ll get them trained, we’ll watch how they do, understand how if we trained it properly or not. And when we have everything going as we’d like, we’ll add another six. And we’ll keep doing that and tell which time Atabak and I look at each other in the sales department, all right we have enough. And I don’t know what that number at this point in time, but we’re pretty comfortable that we are going to go for the 24 before we even start to slow down. And how long it takes this, really Chris is dependent upon finding the right individuals that’s fit the profile of what we’re looking for. We don’t have that myopic view point like a glauco has. What we were selling one thing, we have, as we said surgical retina, medical retina, and G6 and that’s a lot of training and then a lot of different parts of the anatomy and everything from reimbursement codes to how you set up the systems of things. So it takes us a little bit longer. Then it would be to hire one person to sell one product.
Chris Lewis: Okay. Thank you.
Will Moore: All right.
Operator: Thank you. And our next question comes from the line of Lisa Springer from Singular Research. Your line is now open.
Lisa Springer: Thank you. Following-up on Chris’s question about the hiring in the infrastructure. What would be some reasonable way to look at operating expenses for 2017? If I took the fourth quarter expenses would there be a reasonable level to be using for the first half of the year.
Will Moore: We haven’t given operating expense guidance and part of the reason for that is as we have a lot of it depends on the pace of the hiring. And so I think where you’re talking about is a reasonable way to look at it. But I think ultimately as we look at the hiring that we’re – that we’ve talked about doing in not just in the U.S., but Germany adding to our marketing infrastructure to help support that sales team. A lot of it is just somewhat timing driven in terms of when everybody comes on board.
Lisa Springer: Okay. And the decision to sell direct in Germany, what were the factors underlying there and are there other markets where you are considering selling direct as well.
Will Moore: So one, Germany is one of our larger markets for all of our products and in that particular case, we had a distributor that we thought that we could, that wasn’t performing up to our expectations. And so we saw some value and going direct. There’s also an element of – and it can also help support some of the nearby countries there. The other piece of it is we’re going to use that that office as a beach had to help support our international operations from a service perspective. So we think that it will – so has multiples or strategic benefits and ultimately margin improvement benefit by setting up a small beachhead over there.
Lisa Springer: Okay, thank you.
Operator: Thank you. [Operator Instructions] And our next question comes from the line of Larry Haimovitch from HMTC. Your line is now open.
Larry Haimovitch: Hey, good afternoon Will and Atabak.
Will Moore: Hey, Larry, how are you?
Larry Haimovitch: Great, how are you doing? So, quick one Will, on your answer to Chris, there’s a big difference between MIGS and what you are doing as well. Because MIGS is only can common into cataract surgery. You can be use without a cataract surgery and that really does mean a much broader market. I don’t know if you said that, but if you didn’t I just wanted to clarify that for you and the others.
Will Moore: You did clarify, I said it and probably in a manner that was in understood since you didn’t get it. When I said, we will touch a patient four to six times that’s sort of we’ll touch him early, will touch him late mid, we’ll touch him late, whether we’re looking at outflow or inflow.
Larry Haimovitch: Yes, okay, great.
Will Moore: Thank you for clarifying that.
Larry Haimovitch: Okay. So, here is my question. You provided guidance, it is conservative I understand that’s probably fine. That’s gives you plenty of leeway as the year goes on. Can you break the guidance down at all for us, I mean, you provided the – your projections for glaucoma. I didn’t figure out what that number is, but what does the growth imply for glaucoma, the glaucoma franchise or the G6 franchise in 2017 versus the rest of the business. I’m assuming rest of business probably flat to down and obviously G6 up very nicely.
Will Moore: So, your live statement is true, so the retina businesses five to down with the G6 up. And I think we’ve given sort of the key metrics on the G6 side that you can compared to last year to look at how that business is expected to grow. So I think we disclosed the G6 systems. So last year we sold 386 G6 systems and 27,000 probes. So, we’re – so you can compare our guidance to those numbers.
Larry Haimovitch: Okay. So G6, definitely up and then retina flattish to down.
Will Moore: Exactly.
Larry Haimovitch: And what did – one last question, what did the G6 business contribute, I think you gave the number I may have missed. What did the G6 business contribute as a percentage of the total company? Was it 25% that I heard.
Atabak Mokari: Yeah, exactly around the quarter of our business, exactly.
Larry Haimovitch: Okay, so quarter of your business growing nicely 75% still sort of flat to down right now.
Atabak Mokari: Yes.
Larry Haimovitch: Okay, great. Thanks guys.
Operator: Thank you. And our next question comes from the line of Joel Westerstrom from RedEye. Your line is now open.
Joel Westerstrom: Hello, guys.
Will Moore: Hi, Joel, how are you?
Joel Westerstrom: Good, thank you. I had a few questions, just to understand sort of long-term with Cyclo G6. First question, how much of the exchange rate came pass over to customers in Europe and so on.
Atabak Mokari: So we sell all of our products in U.S. dollars. So I think ultimately exchange rate fluctuation is something that impact especially in competitive situations, and other competitors that might be selling in local currency. So obviously we tried to pass along as much as we can, but it’s a dynamic, where we’re limited by the – by competitive pressure.
Joel Westerstrom: Okay, if I’m understating it correctly there, you’re saying you might have to drop prices a little bit at certain instances to remain competitive.
Will Moore: Yes, I think Joel, this is Will, I think from a macro perspective on exchange rates and as the U.S. dollar get stronger. That will create some headwinds, but if you reflect back to my earlier comments about investing and looking at how to reduce cost in products that they have investment that we will deal with to be able to maintain margins over time. You may take a short-term will get hit, but I think over time we’ll be fine. And on and on the newer products with very little competition, the ability to just price in U.S. dollars and provides us the – provides to the customer a little bit of a pain as to the cost. But to the outcome of what they get and how they’re treating things compared to dealing with meds and eye drops to the single payer, system it’s a financially a better decision to use our product than they continue with the med treatment.
Joel Westerstrom: That was going to be my follow-up. If you see less sort of exchange rate headwind, when we speak about the Cyclo G6, I take it that’s correct then.
Will Moore: Correct.
Joel Westerstrom: Okay, and then some other questions, just doing some quick math it seems like you see the consumable or the probes growing between some 67% and 85% is this year over last year. And they would make up some 18% – 17% to 19% of your revenues for the year I guess, if you price them a $200 each. And in 2016, they would have made up about, I guess, 11% or something. How much do you see that growth coming from that already installed base and how much is coming from additional system sales? So I’m trying to sort of figure out, how it evolves over time the usage of them. And so, if you can see that it’s picking up, when they’ve been met in a while at the clinic.
Atabak Mokari: Yes, I didn’t follow all the math that you did. So I apologize, but I’ll focus on the question in terms of how we expect the utilization trend – utilization to trend, which I think is your question. So as I mentioned earlier in the call, so much of it is the systems need to be, because we sell them with a package of probes. The systems need to be first installed then start of utilizing, go through that initial package of probes, before they start reordering and really get that probe utilization up. And a lot of it is physician training to make sure that we get that utilization in working into their practice. So there is a bit of that time of – from the initial sales until they start to work that into their practice and become a more high volume user. So I think that’s – so as we look at the utilization it’s going to be a lot of the utilization trends of for 2017 will come from systems that we sold in 2016 and the early parts of 2017 that the systems base in early parts of 2017 will start to impact the second half of 2017.
Joel Westerstrom: Okay. Thanks, that gives me some help. And then when it comes to the profit for the current year, it’s seems like you’re doing quite a lot of investments and also have some headwinds with exchange rates and so on. So would it be fair to assume that that it’s not going to turn a profit in 2017, given what you said.
Atabak Mokari: No I think we stated on the prepared remarks, the 2017 we expect an operating loss.
Joel Westerstrom: Okay, thanks. Thanks, but it will be really good in 2018 and forward, right.
Atabak Mokari: That’s the plan. That’s what we hope.
Joel Westerstrom: Good to hear. Thank you, guys.
Operator: Thank you. And at this time I’m showing no further questions in the queue. I would like to turn the call back over to Will Moore for closing remarks.
Will Moore: Thank you, operator. And thank you once again for joining the call today. We appreciate your interest in the IRIDEX and look forward to our next progress update. Have a good evening and thank you.
Operator: Ladies and gentlemen, thank you for your participation in today’s conference. This does conclude the program and you now disconnect. Everyone have a great day.